Operator: Good day, ladies and gentlemen, and welcome to eBay's Q1 2012 Earnings Call. [Operator Instructions] And as a reminder, today's conference call is being recorded. And now I would like to turn the conference over to Jennifer Ceran, Vice President, Investor Relations.
Jennifer Ceran: Good afternoon, everyone. Thank you for joining us, and welcome to eBay's earnings release conference call for the first quarter of 2012. Joining me today on the call are John Donahoe, our President and Chief Executive Officer; and Bob Swan, our Chief Financial Officer. We're providing a slide presentation to accompany Bob's commentary during the call. All growth rates mentioned in John and Bob's prepared remarks represent year-over-year comparisons, unless they clarify otherwise. This conference call is also being web -- sorry, being broadcast on the Internet, and both the presentation and call are available through the Investor Relations section of the eBay website at investor.ebayinc.com. In addition, an archive of the webcast will be accessible for 90 days through the same link. Before we begin, I'd like to remind you that during the course of this conference call, we will discuss some non-GAAP measures in talking about our company's performance. You can find a reconciliation of these measures to the nearest comparable GAAP measures in the slide presentation accompanying this conference call. In addition, management will make forward-looking statements relating to our future performance that are based on our current expectations, forecasts and assumptions and involve risks and uncertainties. These statements include, but are not limited to, statements regarding expected financial results for the second quarter and full year 2012 and the future growth in the Payments, Marketplaces and GSI businesses, mobile commerce and mobile payments. Our actual results may differ materially from those discussed in this call for a variety of reasons, including, but not limited to: global economic events; changes in political, business and economic conditions; foreign exchange rate fluctuation; our ability to integrate, manage and grow businesses recently acquired or that may be acquired in the future, including GSI; our increasing need to grow revenues from existing users, particularly in more established markets; an increasingly competitive environment for our businesses; the complexity of managing an increasingly large enterprise with a broad range of businesses at different stages of maturity; our need to manage regulatory, tax, IP and litigation risks, including risks specific to PayPal, Bill Me Later and the financial industry; and our need to timely upgrade our technology and customer service infrastructure at reasonable cost, while adding new products and features and maintaining site stability and performance. You can find more information about factors that could affect our operating results in our most recent annual report on our Form 10-K and our subsequent quarterly reports on Form 10-Q available at investor.ebayinc.com. You should not rely on any forward-looking statements. All information in this presentation is as of April 18, 2012, and we do not intend and undertake no duty to update this information. With that, let me turn the call over to John.
John J. Donahoe: Thanks, Jenny. Good afternoon, everyone, and welcome to our Q1 earnings call. We had a strong first quarter and an excellent start to the year driven by strong performance across eBay, PayPal and GSI. Our portfolio is enabling commerce around the world, and we're excited about our future. We're building a set of capabilities that is reshaping how people shop and pay. We're helping merchants of all sizes compete in a rapidly changing multichannel retail environment, and we will never compete with them. And we're creating compelling and engaging experiences for consumers all over the world. At the beginning of last year, we laid out bold 3-year growth goals, and our strong performance in 2011 was a big down payment toward achieving those goals. And our first quarter results of 2012 continued that momentum. First quarter revenue grew 29%, and non-GAAP EPS was up 18%. All of our businesses performed well. First, let's take a look at PayPal. We see enormous opportunity for PayPal online, on mobile devices and, increasingly, in the off-line environment as well. And PayPal is delivering this innovation on a global scale. In fact, for the second consecutive quarter, more than half of PayPal's revenue came from outside the U.S., highlighting PayPal's expanding global footprint as people around the world look for a safer, easier way to pay in their domestic markets and across borders. Paypal's TPV on eBay was up 18% for the quarter on an FX-neutral basis. This was driven by strong Marketplaces performance and increasing penetration on eBay to nearly 76%. That's a point above the prior quarter and achieves PayPal's 2013 on eBay penetration goal a year ahead of plan. In Merchant Services, TPV grew 28% on an FX-neutral basis as more retailers and consumers chose PayPal online. PayPal continued to add more than 1 million new active accounts per month in Q1, ending the quarter with almost 110 million active accounts. Innovation is a central focus for PayPal in 2012. During Q1, PayPal launched its first major point-of-sale product at a Home Depot. And today, that product is now available at nearly 2,000 Home Depot stores across the country. This enables PayPal's customers to pay in Home Depot stores by simply swiping a PayPal card or entering their mobile telephone number and PIN. Customers can shop without their wallets, credit cards or even their mobile phones; just pay with PayPal. And this is just the beginning. We have signed contracts with several additional retailers and will begin deploying these retailers over the remainder of this year. We also launched a new point-of-sale product for small businesses called PayPal Here. PayPal Here offers small businesses a fully encrypted card reader for Android devices and iPhones, and it accepts all types of payment options. And unlike other solutions in the market, it's global; available in the U.S., Canada, Australia and Hong Kong at launch. The response thus far has been fantastic. More than 200,000 merchants have signed up to receive PayPal Here, which we expect to be widely available in Q2. The use of PayPal in mobile applications is also growing. For example, retailer Cumberland Farms recently introduced an app known as SmartPay at 50 of its Boston area convenience store locations. You can now start the gas pump from your smartphone and pay for your gas safely with PayPal. As you know, I recently named David Marcus as President of PayPal. David is a successful technology entrepreneur with a real passion for innovation, great products and consumer engagement. He leads with a founder's perspective, and I look forward to closely working with David to help define the future of money and PayPal. PayPal also has a strong leadership team, and I want to thank the entire PayPal team for their leadership as we manage through this transition. PayPal didn't skip a beat, and we had great momentum going into Q2 and for the rest of the year. Now let's turn to Marketplaces. Our Marketplaces business has turned the corner, shifting from defense to offense, and is delivering accelerating results. Our efforts to make the shopping experience on eBay faster and easier are paying off. We added more than 2 million new active users in Q1, the largest increase in 3 years. On an FX-neutral basis, Marketplaces' core GMV growth accelerated 3 points to 13%, both in the U.S. and internationally in the first quarter. Fixed price, which accounted for 64% of our GMV, grew 18%, up 4 points from the prior quarter and auctions grew 3%. We're seeing great results from our investments in tailored and trusted shopping experiences. Fashion, parts and accessories and ticket categories all delivered strong double-digit growth rates. And we continue to improve trust on our sites with nearly half of U.S. GMV coming from top-rated sellers during Q1. Same store sales for these top-rated sellers also grew in the U.S., up 22% in the quarter, significantly outpacing e-commerce. And eBay sellers are offering free shipping more than ever on eBay, and free shipping now represents 45% of transactions in Q1, up 16 points year-over-year. On the mobile front, we continue to deliver innovative shopping experiences. In March, we launched Watch With eBay, our first iPad app that combines shopping and entertainment. Watch With eBay services merchandise related to what you're watching on TV, enabling you to shop based on inspiration from your favorite TV shows. And in Q1 alone, there were 12 million downloads of eBay Mobile apps, bringing total downloads to 78 million since the launch of eBay Mobile. We're also excited about StubHub's international expansion into the U.K. during Q1. StubHub now offers tickets to popular music, sporting and entertainment events across the U.K. with all-in pricing at the point of purchase. This is a first for the U.K. tickets industry, underscoring StubHub's strong commitment to innovation and a great fan experience. Let me share some of the Q1 highlights from GSI and our X.commerce platform. As a reminder, both GSI and X.commerce enable merchants of all sizes to compete in this new commerce environment, GSI focusing on larger merchants, X.commerce on smaller. GSI had another strong quarter, driving a 26% increase in same store sales for its clients, again outpacing e-commerce. During the quarter, GSI signed or extended 29 client contracts across their suite of services. And in Q2, we're planning a limited rollout of the next generation of GSI's web service technology, or the V11 platform, which will give clients even more flexibility and control over their multichannel commerce experience. And X.commerce, our open commerce ecosystem, launched 2,000 new apps for businesses of all sizes during the first quarter. In all, we feel confident about our continued progress at GSI and X.commerce and the synergies that cut across our businesses and platforms. In summary, I'm pleased with our strong Q1 performance and our great start to 2012. With our focus on enabling commerce, we're delivering innovative products and great shopping experiences. We're a diverse global commerce company, and we continue to operate with discipline and clarity, leveraging our scale, technologies and capabilities to shape the future of shopping and payments. Now I'll turn it over to Bob, who'll provide more details on Q1 and our outlook for Q2 and the full year.
Robert H. Swan: Thanks, John. During my discussion, I'll reference our earnings slide presentation that accompanies the webcast. As John indicated, Q1 was a great quarter for the company and a strong start to the second year of our 3-year journey. PayPal, Marketplaces and GSI all performed well. Revenue increased 29% and non-GAAP EPS grew 18%. From a capital allocation standpoint, we announced 2 acquisitions and the divestiture of Rent.com. And we repurchased approximately 7 million shares of stock. We feel great about our portfolio and our capabilities. PayPal continues its strong trajectory while innovating on the next generation of payment capabilities; the Marketplaces core business overall is healthy, and investments in new features and functionality continue to make the customer experience even better; and GSI is focused on helping large -- larger retailers succeed in a multichannel world. As a result of our strong first quarter operating performance, we are increasing our outlook for the full year. In Q1, our combined businesses generated net revenues of $3.3 billion, up 29%. Organic revenue growth was 18%, and the inclusion of acquisitions closed in the last 12 months increased our growth by approximately 11 points. First quarter non-GAAP EPS was $0.55, an 18% increase year-over-year. Strong top line growth drove our outperformance relative to guidance. Non-GAAP operating margin was 26.9%, down 250 basis points from the first quarter of 2011. The decrease was mainly due to acquisitions and business mix. We generated free cash flow of $289 million in the quarter, which was reduced by a onetime tax payment of approximately $300 million related to the gain on the sale of our remaining equity interest in Skype in the fourth quarter. CapEx was 7% of revenue in the quarter. Now let's take a closer look at our segment results. PayPal had another strong quarter. Revenue reached $1.3 billion, and total payment volume increased to $33.9 billion, up 31% and 25% respectively on an FX-neutral basis. We continued to expand our global footprint with international TPV increasing 30% and today comprises 46% of overall TPV. A few quick highlights on PayPal operational metrics. The net number of payments grew 31%, a 1-point acceleration versus fourth quarter. On eBay TPV grew 18% on an FX-neutral basis, driven by a strong eBay GMV growth and a 480-basis-point increase in PayPal penetration. Merchant Services' TPV grew 28% on an FX-neutral basis. This growth was driven by continued expansion of PayPal on merchant sites around the world and an increase in share of checkout. Transaction margin was 65.6% in the quarter, up 190 basis points. The increase was mainly driven by a higher take rate and lower transaction expense. PayPal's segment margin came in a 26.4% in the quarter, up 410 basis points from last year. This improvement was mainly due to transaction margin expansion and operating leverage with some strong top line growth. PayPal's transaction segment margins are at the highest level in the last 5 years, while we continue to make significant investments to position for long-term growth. Let me touch on a few key operating metrics for Bill Me Later. More consumers are turning to BML for both convenience and choice. BML's TPV was up 51% in Q1, driven by continued strong penetration on and off eBay. And Bill Me Later penetration in the U.S. on eBay and in the PayPal wallet has increased in the past year to more than 1.6% in the quarter. While small compared to other funding choices, this penetration helped to reduce our funding costs. Risk-adjusted margin for the quarter was 16.8%, up 211 basis points year-over-year. Now let's move to the Marketplaces business. Overall, Marketplaces achieved net revenues of $1.7 billion, up 13% on an FX-neutral basis. This was driven by FX-neutral transaction revenue growth of 12% and marketing services revenue growth of 16% from our adjacent formats. A few quick highlights on Marketplaces' operational metrics. Sold items grew 17%, a 6-point acceleration from Q4, driven by strong growth in the U.K., China, U.S. and Korea. U.S. non-vehicle GMV grew 13%, driven by strong growth in active users and category sales in fashion, tickets and parts and accessories. International FX-neutral non-vehicles GMV grew 13%, driven by accelerating growth in APAC, strong performance in the U.K. and continued stable growth in Germany. From a format perspective, fixed price, a good proxy to compare e-commerce growth, grew 18% on an FX-neutral basis. Marketplaces' segment margin was 38.7% in the quarter, down 180 basis points due primarily to increased investments in technology and marketing. Now let's turn to our newest business unit, GSI. GSI had a strong quarter. Revenue for Q1 was $237 million, up 15%, driven by strong volume growth partially offset by the mix of merchant sales. Adjusting for the impact of the continued shift of clients to the service fee model, year-over-year growth would have been 19%. GSI's global e-commerce merchandise sales, or GMS, grew 26% on a same store sales basis, a great result for GSI merchants who have successfully enabled strong e-commerce businesses utilizing GSI's technology platforms and complementary services. GSI marketing services, which is primarily demand generation activities, grew 30% and accounted for 23% of GSI revenue in Q1. GSI's profitability is improving as we capitalize on the synergies we laid out at the time of the acquisition, resulting in a segment margin of 9.5%. The GSI integration continues on plan. We expect to begin a limited rollout of the V11 platform during the second quarter. And we are confident that the new platform will provide more flexibility to GSI merchants and give them greater control over their multichannel experiences. We are 9 months post the acquisition of GSI and continue to be excited about the opportunities ahead to help large retailers succeed in both -- in commerce both on and off-line. Turning to operating expenses. In Q1, they were 44% of revenue, slightly higher on a year-over-year basis. This was driven by increased investments in product and the customer experience as well as acquisitions, offset by trust improvements and lower buyer protection expense. From a capital allocation perspective, we generated free cash flow of $289 million in Q1. We've improved our financial flexibility by funding approximately 50% of the U.S. BML loan receivables portfolio with offshore cash. We closed one acquisition, and we repurchased 7 million shares for $240 million. And we announced an agreement to divest Rent.com because it has limited synergies with our core business. We ended the quarter with cash, cash equivalents and non-equity investments of $7.8 billion, including approximately $1.1 billion in the U.S. Now let me turn to guidance. We feel great about the start of the year, and we are increasing our full year guidance by $100 million on the top line and $0.05 on the bottom line. Let me provide you a little more context. First, we're increasing our expectations for a strong operating performance by approximately 2 points to reflect the strong results. Second, we have reduced the negative impact of a stronger U.S. dollar by 1 point to reflect a more stable currency environment versus our expectations back in January. And finally, we are increasing full year non-GAAP tax rate to 19% to 20% to account for some onetime discrete items in the first quarter and expectations for stronger growth in North America for the full year. For the full year 2012, we now expect revenues of $13.8 billion to $14.1 billion, representing growth of 18% to 21%. And we now anticipate non-GAAP EPS of $2.30 to $2.35, representing growth of 13% to 16%. For the second quarter, we expect revenues of $3.25 billion to $3.35 billion, representing growth of 18% to 21%. And we anticipate non-GAAP EPS of $0.53 to $0.55, representing growth of 10% to 15%. In summary, we had a strong beginning to the year and are excited about the opportunities that lie ahead. PayPal continues its trajectory. The core business is strong and we are driving innovations, both on and off-line. The Marketplaces business is doing well, more users are coming to the site and we continue to invest in search, mobile, local and social to enhance the platform capabilities. And GSI is performing well. We are investing in our business for the long term, and we are focused on delivering the next generation of global commerce and payments capabilities. And now we'd be happy to take your questions. Operator?
Operator: [Operator Instructions] And our first question in queue comes from Heath Terry with Goldman Sachs.
Heath P. Terry - Goldman Sachs Group Inc., Research Division: John, I was wondering if you could give us a little bit more color in terms of the rollout plan for point of sale beyond Home Depot. What does the path to getting to those 20 additional retailers look like? And what's the experience so far been with leveraging, what you've learned at Home Depot in terms of making that rollout process easier this time around?
John J. Donahoe: Yes, sure, Heath. Well, the first thing I'll say is we continue to be very excited about the off-line opportunity for PayPal. It expands PayPal's served market from a $500 million market to a $10 trillion market. And if we just capture 2% of the off-line retail, it's another PayPal. So we're treating this with the same kind of seriousness we did the Merchant Services business 5 years ago and frankly, using a little bit of a similar playbook. So as you know, our focus in 2011 was to build a set of products that could work in large, small and medium-size off-line retailers. And 2012 is all about piloting, testing and learning. This is not a scaling year, it's about piloting, testing and learning. And so in the first quarter, we got the product into Home Depot. As you know, it works with the existing hardware point of sale. And it worked. We worked with Home Depot on scalability and reliability to the point where they were confident by the end of the quarter of rolling it out to all 2,000 stores nationwide. And thus far, we've done no marketing to consumers. Frankly, the only people using it thus far are eBay and Home Depot employees and others that have happened to have seen it. We're now working with Home Depot to start a phase of marketing to consumers, which will come in the May-June time frame, and you'll see that. Now you'll probably see some signage in the Home Depot stores. They will be doing some mailing to their customers. We'll be doing mailings to ours. And that's when we'll really begin to focus on trying to get some consumer engagement around it. And so a good part of the summer will be working on that phase of things. Now in the interim, we've continued to have a pipeline. Don Kingsborough and the team have been working hard signing up other retailers. We have several under contract and during the second half of the year, we'll be bringing those live to site. But again, with very much of a test and learn mindset really, we're trying to get some retailers in different segments to learn. So I feel very good about our progress. And this year is a test and learn year and so that we'll be ready in 2013 and '14 to roll out across different industry categories and globally. And then the last piece, which we didn't really talk about until we announced it, was our off-line product, PayPal Here, focused on smaller off-line retailers and merchants and that we're very excited about. I think it's a very innovative product, it's a product that we can go global with. And the -- our biggest problem there is we're not sure we can manufacture enough devices in the next 60 days to meet up with the demand. But that's the kind of problem we want to have. So all in all, it's a test and learn year for off-line, and we feel good about the progress.
Operator: Our next question in queue is from Spencer Wang with Credit Suisse.
Spencer Wang - Crédit Suisse AG, Research Division: Two quick questions probably for Bob. In Payments, the -- it looks like the core take rate was up year-over-year, which I think is the second quarter in a row, and it's a bit of a deviation from the last few years. So I know you called out foreign exchange fees as a driver, but is there any other dynamic at work? And do you think that that's sustainable? And then secondly, on Marketplace margins, it came in a little bit under 39%. So I was wondering if you could just speak to your expectations for the full year Marketplace contribution margin.
Robert H. Swan: Spencer, thanks. First, on the PayPal take rate. We have seen expansion during the course of the year. And on a year-over-year basis, it's up roughly 24 bps. And it's really driven by 3 factors, 2 that are sustainable and 1 that's a bit of a wild card. The sustainable component is our first Bill Me Later growth. As we continue to grow the Bill Me Later portfolio that we monetize in a different way, we expect our take rate to continue to go up in conjunction with Bill Me Later's component of the overall portfolio. That will continue. Secondly, as you know, we got a significant cross-border trade business in PayPal. It's roughly 25% of our total volume. And we've made some very modest changes into FX fees over the course of the last year to have a competitive offering, but tweaked up slightly. And small little tweaks on that big cross-border business has a positive impact on our take rate. Those 2, Bill Me Later growth and buyer FX fees, will continue. The third is just the gains on the hedges that we have in place, the revenue hedges that we have in place that flow to the PayPal line. That obviously is more dependent on how currencies go, and I wouldn't be counting on that one. It's a ongoing core piece of the business. So some sustainable, some not, but good, continued performance, primarily Bill Me Later growth. Second question's Marketplace operating margin. I mean, as we said 4 years ago, 35% to 45%; and a year ago, 38% to 42%. We feel very good about that range. And the natural dynamics for us are usually it comes down a little bit in Q1 and Q2 and Q3 as we invest ahead of the back-to-school and holiday season, and then goes up in Q4. So I would say that this year will be no different than prior years. And as we indicated back in January, we still feel good about our 38% to 42% operating margin next year as well.
Operator: Our next question in queue is from Gil Luria with Wedbush Securities.
Gil B. Luria - Wedbush Securities Inc., Research Division: I have a couple of quick ones. The first one is some of your customers link PayPal to their checking accounts. Therefore, when they process their transactions, some of those get routed through the Automatic (sic) [Automated] Clearing House. Do you -- are you concerned that as you continue to grow at these rates, banks that operate the ACH and participate in it will try to impede your access to it by either increasing your prices or charging consumers for linking their PayPal accounts to their checking accounts?
Robert H. Swan: I guess, Gil, it's a good question. And maybe, I'm going to just elaborate a bit because the frequency in which we gets asked -- we get asked this question is higher. And the practical reality is we don't consider it that big a deal, but let me elaborate a little bit. First, to your point, yes, ACH is one of the multiple funding sources in the PayPal wallet. And relatively speaking, it is a fairly low-cost -- a low-cost funding source. So it's an important part of our business. Secondly, I think as you know, the Fed kind of sets the rates and charges financial institutions a fee to process those payments. And we do not expect the Fed or the governor of the network to make any changes to rates. If anything, we would expect the trend of going down to continue. The third then has been the financial institutions pass on any rates to their clients. And on that front, this is a fairly competitive world and lots of the banks provide this service. And for us, we go through a very competitive process, leveraging our scale, eBay Inc. as a whole and our scale within PayPal, to get very competitive rates in a very competitive environment on behalf of our merchants and our consumers. So given that we -- lastly, I should say, we have 4 more years left on our contract. And within that contract, we're not -- we're well protected for any inflationary pressures that may come along the way that we don't think are going to happen. So I think we feel pretty good about that as a funding source in the wallet and that its cost will stay relatively low. All that said, let me maybe put this into context a little bit. Even though we don't expect any inflationary pressures, if our ACH costs went up 5x of where they are today, it's less than 1 point of operating margin on PayPal. So we don't expect them to go up. We're contractually locked out for 4 more years. And our wildest imagine -- imagination is if they go up 5x, it's less than 1 point of operating profit today and much less than 1 point 4 years from now when our contract expires. So it's -- yes, it's a good question. I apologize for the lengthy answer, but the frequency that we get asked, I think, is important enough for us to just elaborate on that one a little bit.
Operator: Our next question in queue is from Ron Josey with ThinkEquity.
Ronald Josey - ThinkEquity LLC, Research Division: So real quick on Marketplaces. John, I think you said that Marketplaces has turned the corner and now playing offense, and I just want to understand a little bit more what gives you confidence there, what we can look forward from Marketplaces going forward. I know there were some discussions about launching in emerging markets. But also, if you could just focus on the domestic business a little bit more as well.
John J. Donahoe: Sure, Ron. The -- well, the nice thing about the first quarter results are frankly that they are an accumulation of the hard work we've been doing over the last 3 or 4 years to improve the user experience, both the product experience, the trust, the quality of products on the site, the quality of sellers. And so the data I look at is buyer retention. And buyer retention is up in the U.S. and across the globe. The second thing, as you know over the last several years, people have been saying, "When are we going to start marketing to bring back inactive users or bring new users to the site?" And under Devin's leadership over the last really 6 months, we have really ramped that up. As you know, we did a brand campaign in the fourth quarter, and we're starting to start marketing. And Devin and I were just sitting down; he was showing me some data yesterday where our active buyer growth is up 9.5% in the core Marketplace business. So we're beginning to reach out to people that haven't used eBay in a while or never used eBay, and they're responding. And they like what they see. So I think that's adding to the growth and that's adding to our optimism. And then as you said, another focus Devin's brought is the focus on the BRIC markets. And we were going through some data, just some of the fact that -- the user growth, the buyer growth in some of the BRIC markets, in India, in Brazil and Russia, in Eastern Europe and in China. And they're very significant user growth rates. Now they're under relatively small bases. And right now, they're importing product. But as large numbers of new users come online in the BRIC markets and in the -- and in emerging markets, they won't have a local e-commerce market at first, and they're going to be looking to kind of global e-commerce sites that specialize in cross-border trade. That, of course, is what we do. eBay does it, PayPal enables it. And so again, I think that we'll see increased focus and we'll increase focus on bringing buyers to the site, both in the U.S. and around the globe, and then try to deliver a great experience so that we retain those buyers. And you add that together and that's why we're optimistic. I'll also say we have a couple of -- a nice series of product enhancements during the year. You're going to see some really, really good stuff around the checkout experience on eBay. We're finally going to -- given the fact that we own eBay and PayPal, we're going to improve the checkout experience on eBay. You're going to see some search improvements. You're going to see some fun areas and discovery, and so things -- more to come on a steady stream of product enhancements on eBay. So all in all, we're feeling good about that business.
Operator: Our next question comes from Justin Post with Merrill Lynch.
A. Justin Post - BofA Merrill Lynch, Research Division: A couple of things. I think on your commentary, you mentioned parts getting better and maybe fashion. Do you see some real easy categories ahead for you to start work on in catalog and improve? And then maybe you could comment a little bit about the search engine improvements, what you think that could do for the marketplace. And then lastly, you did see some deceleration in GMV in Q4, and it looked like it really picked up -- back up in Q1. Was there anything abnormal in Q4? Or do you think the whole e-commerce market may have improved in Q1?
John J. Donahoe: Well, Justin, you got 3 question here.
A. Justin Post - BofA Merrill Lynch, Research Division: [Indiscernible].
John J. Donahoe: In part -- on the vertical categories...
Robert H. Swan: So many we might not remember all of it.
John J. Donahoe: Exactly. Parts and accessories, obviously we had strong vertical focus. That business is growing. Fashion, you've seen a more visual experience, both on our web experience and on mobile. I think you're going to see even more on that, and some of the stuff I'm really personally excited about is some of the stuff that Steve Yankovich and our mobile team are doing around visual recognition and search, which is sort of how you want to engage with a fashion experience. And then consumer electronics is a category that lends itself to catalog issue. As you said which you saw, we've rolled out the product-based experience in consumer electronics. The kinds of things that are on the to-do list going forward, it varies a little bit by market. But collectibles, I -- you'll see us do some things in collectibles. Sporting goods and baby goods are 2 sort of subcategories where we're working hard to bring the right inventory on and provide a good experience. With respect to search, Mark Carges and the team of -- have done a great job with some of the vertical shopping experiences and different search algorithms by vertical. They're now building the underlying search platform, which we'll roll out during this year. And the implication of that is that we call the Cassini internally. And historically, the search on eBay has been matching keyword match in the title, and that's really how we recall search on eBay. What Cassini will now do is will search the entire listing for search terms and match the search query with that. So we think that will improve the accuracy and comprehensiveness of search recall. And lastly, on first quarter, I -- Bob can probably comment on specific things. The thing I'll note is e-commerce is growing. I mean, mobile is having a big impact on the e-commerce market. The e-commerce stats came out yesterday in the U.S., and they were up a couple of points in -- for the month of March 17%, and we're benefiting from that. And frankly, I think our mobile apps are helping to drive that. So...
Robert H. Swan: Yes, I think you got it.
John J. Donahoe: Good. How about that? All 3.
Robert H. Swan: All 4 of them.
Operator: The next question comes from Scott Devitt with Morgan Stanley.
Scott W. Devitt - Morgan Stanley, Research Division: A question on the sold items growth, which was also very strong. When you called out U.K., China, U.S. and Korea, you gave some description on the U.S. I was just wondering if you can describe U.K., China and Korea a little bit more. And then secondly, John, just to clarify on the top-rated seller data that you gave, is that U.S. only or global?
Robert H. Swan: Scott, let me take the first one first. On China and Korea, let me bundle those 2. First, as you may remember from a year ago, for different reasons but the same impact, growth from China and Korea was relatively slow. In China, because we took some actions to ensure that the volume coming from our greater Chinese sellers were providing great experiences for our consumers in our developed markets, growth slowed until they could adjust their business models to provide great experiences. So in China, we saw a real healthy growth on volume in sold items because our sellers have really responded to the increased expectations of consumers. So that was one. I think, two, in Korea, a little bit of the same. Our competitive position in Korea is getting stronger. We're investing more behind it, and our sold item growth is accelerating because our business is stronger and our comps are relatively easy. I think on the U.S., John covered it. On U.K., this has been a very good, strong suit for us for a long period now. It's the market that Scott, as you know, we did our -- there was a launch from a lot of the innovations that we do. They've been in that market the longest and for a good 8 quarters now, we've seen really strong growth in the U.K. In Q1, sold items was no exception.
John J. Donahoe: And Scott, on top-rated seller was -- what I said earlier was U.S. And again, it just shows that this has been a continuous focus of ours to focus more and more of the marketplace on our top-rated sellers that provide the best service. It's now half of GMV in the U.S. Their businesses are growing, same store sales of 22%. They're offering more free shipping. And interestingly, we made the decision in Q1 to raise the bar to qualify the top-rated seller even more, adding in return policies and certain shipping speed expectations and tracking expectations. And so we'll continue to use that benefit of the carrot to allow those sellers on eBay to provide retail-like, fantastic consumer experiences to be the ones that will really succeed and grow. And they're stepping up to it, as eBay sellers do sort of inevitably. It's fun to see.
Robert H. Swan: And Scott, if I could just connect the dots in terms of what the implications of that is downstream. I mentioned some of the operating expense improvement was the result of lower buyer protection costs. So in the ecosystem of great sellers providing great services, technology serving them up more often, they become a bigger component of our overall growth. The implications downstream are, all else equal, less calls to the contact center and less us having to step in to provide satisfaction guarantees now because our sellers are providing that service themselves.
Operator: Our next question comes from Mark Mahaney with Citigroup.
Rohit Kulkarni: This is Rohit Kulkarni. I'm filling in for Mark. I just had one question about Payments, Merchant Services growth. We have seen sequential deceleration over the last couple of quarters, and the x FX fee growth rates have come in below 30%. You've called out a couple of unusual events be it currency, volatility or lower ASPs. Will you comment on what you expect would be reasonable Merchant Services growth going forward? Or do you think we are at a new normal rate of growth?
Robert H. Swan: Yes, great question. First, maybe a little bit of context. As we indicated early last year, our expectations for PayPal over the 3-year time frame is we'll roughly double the size of the business. And that would really come in 3 different components. One, we continue to grow on eBay in the mid to upper single digits. Secondly, Bill Me Later would grow north of 40%. And third, to your question, Merchant Services would grow over that 3-year time frame of 25% to 30%. Those 3 components are what would drive the doubling of PayPal from essentially 2010 to 2013. So we said 25% to 30% for Merchant Services. Last year, Merchant Services performed much higher than that. It was up in the mid-30s, about 34%. So we're off to a great start one year in. And we increased the guidance in effect for the 3-year journey at the beginning of this year. This quarter, another good, strong quarter. Merchant Services' TPV had 28% growth, which keeps us well on track, maybe even a little bit ahead of our 3-year plan. So we feel very good about where we are. In terms of maybe context around the deceleration that happened last year, I'd say 2 things. One, wild changes in currencies, particularly for Europeans, impacts our cross-border trade, and that started to happen in Q3 and again in Q4 and that was a big component of the deceleration. Currency from Q4 to Q1 had been relatively stable. And therefore, our business -- sorry, Merchant Services has remained relatively stable growth from Q4 to Q1 because there's no wild cards. I think underneath the covers a little bit, European growth is slower. The growth in Europe, we had a great quarter as a company. eBay in Europe was very strong. PayPal growth in Europe slowed. And when we look at same store sales for our merchants in Europe, we're contending with some slowness, what we would say is really more economy-centric than the progress that our teams are making, getting new merchants and more consumer share of wallet. So 25% to 30% is what we said 5 quarters into our 12-quarter journey. We're in a -- we're in very good shape, some things working for us, some things working against, but we feel very good about the plans we laid out. And then as John mentioned, one last thing. In that 3-year plan, we didn't include anything in the off-line world. And the -- our ambitions are to take what we did in the online world, take them into the off-line world for small, medium and large merchants and dramatically increase the denominator of the served market to accelerate growth even more in -- as we exit 2013 and into 2014 and beyond.
Operator: Our next question comes from Gene Munster with Piper Jaffray.
Charles Eugene Munster - Piper Jaffray Companies, Research Division: In one of the earlier questions, you talked about Home Depot and other merchants getting on board this year, kind of the test and learn phase, and then kind of in years out, broader adoption. And also in the past, you've tempered some of the Street's optimism around NFC for commerce and so forth. And the reality is, is this going to happen? It's a function of time. I think -- I thought you said 2013, 2014. So my first question is, if you were going to guess when the inflection point is in NFC, is it 2014, 2015, 2013? Is there any -- realize that it's just a guess. Is there any guess from that perspective? Then my second question is, you were -- you said you're on the offense in the marketplace and 2 million new users. Was the majority of those -- did they come from the BRICs?
John J. Donahoe: Well, Gene, on NFC, I think we're proven to have been right. My flip answer is when is it going to be ready? Never. But the -- I think other technology solutions, things like PayPal Here, things like what we're doing at point of sale where you pay hands-free mobile number and PIN, you don't even need your mobile number, are ways to provide compelling consumer experiences that don't require the actual use of an NFC technology. So I think location-based payments is something that you'll see a lot of innovation around. And just as we -- in PayPal Here, you see us using the check-in feature on location-based payment fees to be quite powerful, the GPS devices and smartphones. But again, it's not dependent upon an NFC for the last inch. So I don't know. I think you'll see more -- and I think it's going to be at least a couple years before you see widespread adoption of NFC in large retailers all over the world. There'll be some examples of innovation, but I think the real innovation that we'll be driving are in the actual consumer experience and the merchant experience.
Robert H. Swan: And just I would say on the user growth, the user growth is primarily from our developed markets. And I think what we're seeing now off a relatively low base, we see very attractive growth rates in the emerging markets. So that is an opportunity for us going forward, not necessarily moving the needle in the 2 million new users in the quarter.
John J. Donahoe: Let me just come back and say one more thing on NFC and just again, our approach is we will be tender type indifferent. If a consumer wants to pay with a card, they'll be able to pay with a card. If the consumer wants the hand-free mobile number and PIN, they'll be able to do mobile number and PIN. If the consumer wants to use their mobile phone to pay, we'll be -- we will work with all the major devices, all the major operating systems and whatever last-inch technology, Bluetooth, NFC or new ones that emerge. Our goal is to give the consumer an easy payment experience. And the technology is an enabler of that, not the product.
Operator: Our next question comes from Ben Schachter with Macquarie.
Benjamin A. Schachter - Macquarie Research: John, you mentioned some of the growth coming from mobile. I was wondering if you could just parse that out a bit more and talk about the differences in consumer behavior on tablets versus smartphones and really how that's driving. Any stats you can share with us in terms of percentage of traffic, percentage of sales?
John J. Donahoe: Well, what -- well, I'll say a couple of things, Ben. This mobile is fundamentally changing the retail landscape, and there's no going back. It's -- and it's sort of stunning to see. And I'm thrilled we're at the front end of that in sort of 2 ways. One, having applications and products that allow you to actually close a transaction on a mobile device. And so eBay Mobile volume continues to just be on fire. PayPal mobile payments volume continues to be on fire. And so consumers are using their mobile devices to shop and to pay. And our applications are compelling, and I think we will certainly beat some of the goals we set out for the year on those 2 fronts. The other story, though, is consumers are using mobile devices as part of their shopping experience even if they don't actually close the transaction on a mobile device. And some of the innovations that we're driving and doing, I think, are quite interesting on that front. I'll highlight 2. One -- or 3 really. One is what we're doing around local commerce with RedLaser, Milo and PayPal, right, which we believe is providing an experience that will help drive foot traffic into large retailers. And we're working with retailers like Toys R Us and Best Buy and others to make that a compelling experience. Second example on the iPad is this notion of shop while you're watching TV. I think Nielsen produced a report that says something like 80% of smartphone and iPad or tablet users use their devices while watching TV. And so our Mobile team came up with this application where while you're watching TV with the eBay iPad app, you enter whatever channel you're watching and the TV show that you're watching. eBay inventory associated with that TV show pops up, and it's a very compelling experience. And now we're doing some experimentation with some celebrity curation and other things. So this whole notion of a dual-device experience, having an iPad or a smartphone in your lap while you're watching TV, I think you'll see a lot of shopping innovation around that. And again, we're -- we hope to be enabling that. The last thing I'd say then is the -- I think some -- the innovation around mobile is actually just beginning. It's -- some of the location-based capabilities that these mobile devices enable are going to have impact on shopping and paying. PayPal Here, that check-in feature, which allows the small retailer or small merchant to know you by name and by face when you come in. I think that visual search capabilities that -- and additional recognition will have an impact on our fashion experience and on shopping. And so we're doubling down on our mobile investment and feel very good about the innovations that are happening and are finding a growing number of retailers and merchants who are coming to us saying, "Can you help us in this mobile world?" So it's fun and it's not going away.
Operator: Okay, our last question will come from Colin Sebastian with Robert W. Baird.
Colin A. Sebastian - Lazard Capital Markets LLC, Research Division: Two quick ones for me here. Number one, in the Marketplace side, John, I guess I'm curious. How much of the improvement there do you attribute to the specific changes you've outlined that you're making to the marketplace versus perhaps just a natural equilibrium point setting in for eBay, which would suggest growth in line with e-commerce regardless of the conscious changes you're making? And then secondly, on PayPal. Just looking at the growth in accounts and the spread there versus the growth in the number of payments, we see users are paying with PayPal more frequently. So I wonder if that's -- if the higher engagement is coming from the incremental growth on mobile or perhaps more or broader acceptance of PayPal on e-commerce sites or something else. If you could talk about that.
John J. Donahoe: Well, Colin, it'd be very hard for me to sit here and say that everything we've done in the last 4 years doesn't really matter in the marketplace, does it? I think 2 things. I think the answer to both of your questions is both. I think the changes we've made were essential. I think the marketplace would not have turned around. It wouldn't be where it is today without the changes we've driven. It's a more trusted, better experience. And I believe we're at a new equilibrium. And now, Devin and his team are trying to build off of that new equilibrium. Our aspiration is now going to be above e-commerce. So -- and over time that's what we'll be driving toward. So I feel that the marketplace is in a strong and sustainable place today that we'll build off of. And in PayPal, I think mobile is enhancing the engagement and the ubiquity of PayPal. And when you look at ubiquity on the web, we continue to sign additional merchants around the world up where they're putting PayPal on their online site. PayPal on a mobile device is proven to have higher conversion, and so more and more people are putting PayPal checkout on their mobile applications. And then moving into the off-line world is that third leg of ubiquity, both with large merchants and small merchants, with our point-of-sale product in PayPal Here. And our strategy is quite clearly if PayPal is everywhere, that's going to increase the likelihood that consumers engage with it, which is good for the business, both online and off. So I guess the answer to your question is yes on both fronts. All right, everyone, thank you very much and we'll talk to you in 3 months.
Operator: Ladies and gentlemen, thank you for joining today's conference. This does conclude the program, and you may now disconnect.